Operator: Ladies and gentlemen, thank you for standing by, and welcome to Altium’s Half Year 2021 Financial Results Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. I'd now like to hand the conference over to your first speaker today, Ms. Kim Besharati, Chief of Staff. Thank you. Please go ahead.
Kim Besharati: Hello, everyone, and welcome to the Altium investor call. I'm Kim Besharati, Chief of Staff and Head of Investor Relations. Joining me on the call today is our CEO, Aram Mirkazemi; CFO, Martin Ive; President, Sergiy Kostynsky; and EVP Corporate Development and External Affairs, Joe Bedewi. I'd like to inform participants that Today's call is being recorded. Today Altium released to the ASX the company's half year financial results, and investor presentation, which we will discuss with investors in the coming day. During this call, our momentum will elaborate on Altium's performance for the half year fiscal 2021. We will share details of how we have pivoted to the cloud, bifurcated our sales into digital sales and high-end professional sales, and divested our TASKING business to concentrate our focus on accelerating the adoption of our cloud platform, Altium 365 for dominance and industry transformation. With the divestment of TASKING, Aram and Martin will share detail of our full year guidance and slight up to 2025. Please note as a reminder, today's call and the Q&A section at the end may include forward-looking statements regarding Altium's products, its future operations or financial performance. Any such statements are based on the current assumptions by Altium management and subject to risks and uncertainties that may cause actual events and results to differ materially. Please note that all numbers are in U.S. dollars unless specified otherwise. I will now transfer it to Aram.
Aram Mirkazemi: Thanks, Kim, and good morning, everyone. After eight consecutive years of double-digit revenue growth, our team experienced a 4% decline in first half revenue. This performance for the first half reflects the combination of the effect of extreme COVID conditions and Altium’s Netflix moment, which is a hard pivot to the cloud. The combination of COVID and the Netflix organizational changes has created an inflection point, which we have taken full advantage of to propel ourselves forward with a great optimism about the future. You can think of FY21 first half as Altium's pitstop. After eight years of racing around the tracks and delivering record performances, we took advantage of COVID and did a measure of all of our business in switching to the cloud. This pre-vaccine period presented a perfect opportunity to fast track our transition from the pursuit of market leadership to the pursuit of dominance and industry transformation. During the first half, on the back of a successful launch of Altium 365, we leaned strongly into our journey of dominance and transformation and took advantage of the conditions to undertake a major restructuring and pivoted hard to the cloud. This has included the separation of our CAD software business from our cloud business, and the reorganization of our sales model into high touch and high volume.  We made a strategic decision to divest our TASKING business to allow us to singularly focus on the expansion of the Altium 365 platform and to drive its adoption for transformation. It is against the background and what has been achieved that considered our Altium’s performance in the first half to be potentially a game changing performance in the opening year of our next five years in pursuit of dominance and transformation.  Before I elaborate further, I would like to highlight a few trends from the first half that I regard as highly significant. Perhaps the strongest positive trend from the first half is the acceleration of the adoption of Altium 365, with over 9,300 active monthly users, over 4,400 monthly active accounts, up 83% and 69%, respectively, since July. There are early signs of our industry recovering with our Octopart business growing strongly by 19%, as electronics manufacturing has returned to growth and there is increasing demand for printed circuit boards to be produced for electronic products.  For our Boards and Systems business and for China, our Q2 performance was stronger than our Q1 performance in relative terms. And January has followed that trend by surpassing the pre-COVID January performance of 2020. Although it has some negative revenue impact for our first half results, our customers’ natural adoption of term-based licensing, with 166% increase, bodes well for our goal of 80% recurring revenue by 2025.  In addition to our Netflix organizational changes, we have subsequently accelerated further towards industry transformation by forming a new business unit which we are calling NEXAR. NEXAR’s mission is to build an ecosystem for our new cloud platform Altium 365. With the divestment of TASKING, Altium will have two unique and complementary business units. These are Boards and Systems which provides PCB design software solutions and indirectly monetizes Altium 365 through enhancement of the value of subscriptions associated with design tools; and NEXAR, which provides professionals and industry partners with access to the vast ecosystem of electronic design and manufacturing users and customers, and in the process, directly monetizes Altium 365. NEXAR includes Octopart and smart manufacturing.  The formation of the new business unit NEXAR marks the completion of our organizational transition, which started nearly two years ago. This was when we first recognized that Altium needed to break away from a traditional organizational structure that was based on solid R&D, marketing and sales departments to a modern cloud era organizational structure where the boundaries between product development and go-to-market are blurred.  As part of this transition, Altium has switched from one engine of growth with one flywheel to two engines of growth with four independent flywheels. These new flywheels are built to drive adoption of our CAD tools and cloud platform. For the adoption of CAD tools, there are two dedicated flywheels that focus on high volume and high touch sales. And for the cloud platform, there are two additional flywheels that focus on bringing customers to the cloud and bringing partners to the ecosystem that is being built around Altium 365. These flywheels are fully formed and are beginning to spin up. Our focus is now fully dedicated to building ever increasing momentum in these flywheels. As I look ahead and reflect on what we have achieved through our pivot to cloud, our organizational changes, I'm confident that past our 2025 aspirational goals of $500 million and 100,000 seats on subscriptions is strong. Our flywheel related to the adoption of our cloud platform by our customers is gathering momentum and it is a key for our long-term success. It also has to build momentum in other flywheels. Another advantage of this first flywheel is that it allows us to seamlessly move our software maintenance subscription to capability-driven SaaS-like subscription without forcing a licensing change, or change of behavior on the customers’ part. Adoption of the cloud platform also opens up the opportunity for direct monetization through Altium 365, NEXAR ecosystem by bringing industry partners onto the platform. Having shared my excitement about our accelerated transition towards dominance and transformation, let me address the short-term uncertainty in the years that I have previously described as pre-vaccine and the transition year, this being FY '21 and FY '22, respectively. I would like to start by sharing color as to how COVID and Netflix organizational changes impacted our first half. As foreshadowed in our full year results, we discontinued extended payment terms and attractive pricing in the first quarter of this year, believing that COVID levels were getting a little more under control in the U.S. and Europe, with significantly reduced discounting and introduced term-based licensing to replace extended payment terms. This, however, provided to be -- proved to be inadequate when the second wave of COVID struck. But we have the line and did not revert back to what had worked in Q4 in dealing with the first wave of COVID. This is directly related to our Netflix restructuring of our sales into high volume and high-touch which precluded leading with discount or indiscriminate discounting as it would undermine our new high-touch sales channel and render it ineffective. We did offer attractive pricing selectively, but it was not enough to fully counter the second wave of COVID.  As for the second half and our flight path to 2025, I'm confident that with our Netflix organizational changes behind us and our new flywheels spinning up that we will return to positive growth in the second half and adhere to the flight path that we have shared with the market, which is the flight path that we presented in August last year less TASKING. The new flight path now includes 10% to 20% for M&A. As you know, M&A has been something that we have talked about recently and it has always been on our agenda. As we discussed in August, opportunities for M&A are vastly expanded with cloud and Altium 365. In fact, we are doubling down on our dominance and transformation strategy and removing any aspect of our business that is not directly related to that. This is why we divested TASKING. In this way, we will put all of our resources and mindshare into activities that are directly related to our transformative agenda. This prepares the way for significant M&A activity related to Altium 365 opportunities.  Turning now to strategic partnerships and the impact that Altium 365 and NEXAR are having in this domain. With the Altium 365 cloud platform and the ecosystem that is being built around it, we need to open to all partners. This is an essential requirement for any ecosystem to be truly successful. We refer to this strategy as our [Switzerland] strategy under which, as an ECAD company, we will be welcoming all MCAD, PLM and CAE partners in addition to their sales systems. We have already started successfully engaging with large industry partners who are aligned with our cloud strategy and platform for mainstream engineers.  I would now like to say a few words about China. I know that some of you have concerns about geopolitical risks and how it may relate to Altium. Though our disappointing first half performance in China may have been somewhat impacted by geopolitical causes, the post-COVID conditions and fallout from it also made LC compliance activities more challenging, particularly at the low end of the market in China.  We are, however, excited about China and the role that Altium 365 can play in that region. Altium 365 China has been built from the ground up specifically for the China market. I'm pleased to share that we are set to commence a pilot program in March with a large and well-known local Chinese manufacturer for a two to three month period with the goal of testing the potential for rapid adoption of the platform. Based on the outcome, we will look to expand into a formal strategic partnership for Altium 365 China. I look forward to sharing further details of this pilot program and our next steps as they unfold.  In conclusion, with our pivot to the cloud and Netflix organizational changes behind us, I'm confident that we can pick up pace in the second half. Early signs are pointing to a stronger second half. This said, while there is emerging optimism as COVID vaccines are rolling out, we continue to view fiscal 2021 as pre-vaccine year for our flight path to 2025. Therefore, in weighing stronger execution momentum expected for the second half with macroeconomic uncertainty lingering, we believe our full year guidance will be closer to current consensus at the lower end of the range being $190 million to $195 million ex-TASKING and EBITDA margin in the range of 37% to 39%.  Altium remains committed to achieving its aspirational targets of $500 million in revenue by 2025 and 100,000 subscribers.  I will now hand over to Martin. 
Martin Ive : Thanks, Aram. Good morning, everybody. Altium experience a challenging first half of fiscal 2021 as extreme COVID conditions hit the U.S. and Europe. This affected spending sentiment by our customers and resulted in a 4% decline in overall revenue. On the positive side, our subscriptions business was resilient, with 12% growth in the subscriber base in the last 12 months to reach 52,157 subscribers.  The impact of COVID on sales and revenue in the half was predominantly from new perpetual license business being tougher to close. Altium Designer new perpetual license seat sales were down by 15% to 3,590 for the half. We also moved our public pricing back to full pricing from September, after having heavily discounting in the final quarter of fiscal 2020. This should positively impact average revenue per account and reflects value that customers are seeing in our cloud platform Altium 365. During the half, we did see an increase in new term based license sales, which increased by 166% with a resulting negative short-term revenue impact of just over $1 million for the half. Our key regions of the U.S. and EMEA were impacted by COVID lockdowns as the pandemic reached new peak towards the end of the half. U.S. revenue for the half was down by 10% to $23.2 million and EMEA revenue for the half was down by 4% to €18.4 million. Again, this was primarily a result of the tough conditions for closing new business, while the new revenue remains strong. As Aram mentioned, China also experienced a challenging first half, with revenue down by 15% to $10.6 million. This was brought about by tough post-COVID economic conditions in the region, which impacted license compliance activities, particularly with smaller businesses, as they were focused on cash preservation and have less motivation to settle their license compliance infringements. The mid to larger businesses have not shown signs of being effective, and those with more Western connections tend to comply fully when cited. In January, China has improved its new win rates and looking ahead has a solid lead pipeline with greater focus on mid to large sized companies to underpin a much stronger second half. The rest of the world, including Australia, New Zealand and Asia, grew revenue by 13% to $6.4 million, as the pandemic was relatively well contained in those regions. Octopart also delivered strong growth of 19% to $10.8 million as it benefited from the rebound in electronic manufacturing. This is a positive lead indicator for PCB design growth, which will drive Altium Designer sales momentum in the second half.  NEXUS revenue for the half was $6 million and down 14% compared to $7 million and 197% growth achieved in the first half of last year. This was largely as a result of two large deals in the comparative period, and the impact of COVID slowing down the pipeline that we built for the half. Pipeline for NEXUS has since been steadily building and is solid for the second half.  There was no customer churn, and a significant $1.5 million three year deal with TE Connectivity was secured during the period.  Looking ahead, I'm confident that our second half will be considerably stronger than our first half. We saw Q2 markedly stronger than Q1 for both our Board and Systems division, which was down 11% in Q1, improving to be flat in Q2; and also in China, which was down 30% in Q1 and improved to be only 5% down in Q2.  We have now fully implemented the bifurcation of our sales model into high volume for digital sales and high-touch for professional sales, and have recently launched a new website and campaigns with a recently introduced Altium Designer subscription levels. Standard and pro levels are now being sold with enterprise to be available in the second quarter of calendar 2021.  Turning now to costs, I'm pleased to recall that Altium maintains strong control over its operating costs without jeopardizing product development. We adjusted for the pandemic conditions, and operating expense growth was restricted to 3% at $53 million on a continuing basis excluding TASKING for the first half. That said, we continued our investment in R&D to continue to expand our engineering capacity. This is necessary to continue the development of our cloud platform and to make our CAD software tools best-in-class.  The impact of R&D hiring during the latter half of FY'20 and first half of FY'21 accounted for an additional $1.5 million in employee expenses. In total, people costs including share-based payments, increased by 4% to just under [$40 million] for the half.  Altium achieved an EBITDA margin of 34.2% or 32.7% underlying, down from 39.7% and 37.6% underlying one year earlier. This included positive impact from the forfeiture of contingent consideration related to the Gumstix acquisition after the participants did not meet service period obligations, and also a negative from the one-off costs associated with the divestment of the TASKING business. Some cost savings were achieved as a result of COVID restrictions, such as travel costs, and some office-related expenses. However, these were partially offset by software and communication costs required to support the workforce in remote working.  Additional costs were also incurred during the period for D&O insurance premiums, which are generally increased across the market, as well as compliance costs associated with ongoing income tax audits. While our operating cash flow was down 10%, this was primarily driven by $6.2 million increase in tax payments compared to the same period last year. This included payments that had been deferred from the second half of FY'20 as part of government programs in response to COVID. Tax payment schedules will normalize in the second half of this financial year.  During the half, we were approached by a European private equity firm, FSN, and took the opportunity to make the strategic decision to sell TASKING, even though the divestment will negatively impact our margin in the short-term. The sale proceeds of $110 million will be used to invest and expand the capability of the Altium 365 platform through future M&A. The sale price also reflects the old world nature of the automotive industry focus TASKING compiler software technology that has been largely untouched since the late 1990s. We have optimized TASKING business to the point that it could not move to the next level without significant additional R&D investment. And so the sales proceeds and our mindshare is best applied directly towards our dominance and transformation agenda. The TASKING transaction closed on the 5th of February 2021. As Aram mentioned, we expect our full year revenue to be at the lower range -- lower end of the range between $190 million and $195 million and EBITDA margin to be in the range of 37% to 39%. Altium remains committed to achieving its aspirational targets of $500 million in revenue by 2025 and 100,000 subscribers.  This wraps up the formal part of this call and I'll now pass over for Q&A.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Lucy Huang of Bank of America.
Lucy Huang : Good morning, Aram. And good morning, Martin. So I just have three. So firstly, in relation to the margin guidance that’s from FY'21 to '25, just noticed that the range has been lowered slightly. So just wondering what you're now accounting for in terms of increased costs over the next few years? And then just secondly, it looks like the lapse rate in the subscription business has ticked up a bit. Are you able to talk through what -- the dynamics that are happening with the lapse rates in the business? And then just last one for me, if you can confirm, I guess the number of NEXUS licenses that we have in the business right now, that'd be great? Thank you.
Aram Mirkazemi: Sure, Lucy. So the -- in terms of the margin, I think we referred to it during the call, the impact of the TASKING divestment has a negative impact on our margins. We expect that to be about 1%, which we've adjusted for in the flight path. In terms of the lapse rates, we saw a dip in our lapse rates, particularly in Europe, and Eastern Europe in the first quarter of the half. And those rates then kind of normalized as we went through the second quarter. So we feel confident in terms of going into the second half. That was just a bit of a blip in terms of Q1. In terms of the number of NEXUS seats, I think we had around 1,650.
Operator: Our next question comes from Quinn Pierson at Credit Suisse.
Quinn Pierson: I guess just firstly, so the revised guidance still implies a pretty strong acceleration in the second half. You've talked to some of the company-specific drivers, sales reorg, sort of pipeline on NEXUS. I guess my question is, from a COVID perspective, which has been the main call out for some of the downgrades, the COVID is still a very, very large challenge in Northern Hemisphere, are you seeing anything different with respect to your customers? Or is the second half acceleration strictly due to business-specific initiatives?
Martin Ive: Well, we had a stronger Q2 versus Q1 in the first half in relative terms, and our January has been stronger and that trend has continued compared to same month a year ago which was pre-COVID. Now, this is a combination of both. Our customers are now returning back a little bit and we could see this in our Octopart business that has grown by nearly 20% in the first half. And also, our changes are now all behind us and we're now getting that rid and going. So -- and then also the second half will be compared against the second half that was COVID, at least half of it. So it would be an easy decline. 
Quinn Pierson: And secondly, and lastly, I guess Cadence would probably be the main kind of other competitor data point we can look to in the market. It's looking like they are outperforming in the December half, including their division with holds their PCB. I understand there's a fair few moving parts in that business. But I guess what can you tell us about what you're seeing from the competitive set? And do you have any concerns that there's a potential slippage of market share or no on that front? 
Aram Mirkazemi: We don't see anything from our competitors that actually compare anything like what we have with Altium 365, Altium Designer is now getting to a point where it's matchless in the industry in terms of its capabilities, its functions. Its modern behavior is connected to the cloud. So we're pretty confident in that regard. Some of our competitors including Cadence, they've got like 80% discounting on their homepage. They’re kind of trying to keep up with us and follow us, but it's hard to follow Altium on all the fronts that we’re executing. So we're pretty confident in that regard. Cadence’s business is really around chip design and their PCBs, completely driven by customers that go to them for chip design. 
Quinn Pierson: Just a clarification on that. So when you're seeing high discounting from competitors like Cadence, does that impact your business? Are you able to see that up in your results and to what degree is that all you need to match for, I guess, have your own price -- pricing kind of reflects what you're seeing amongst the competition? 
Aram Mirkazemi: Well, it's hard to quantify that. It's -- the confluence of COVID, our internal changes and competitors’ behavior, it’s difficult to pinpoint exactly what's causing loss. But we're pretty confident that our first half with what we needed to actually make the adjustments and our second half, we're going to be back on the racetrack and speeding up. 
Martin Ive: I think just to add to that, we've seen Cadence and Mentor running these heavily discounted campaigns for a number of years. So it's not something that's just a new phenomenon. And it hasn't had an impact on us in the past. So I don't feel that, that would have had a significant impact in the first half of this year. 
Operator: Our next question comes from Josh Kannourakis at UBS. 
Josh Kannourakis: Good morning, Aram and Martin. Just a couple from me. Firstly, just on the flight path and term-based licenses. Would you be able to give us a bit of a feel for just the assumption on the percentage of those term-based licenses? I think you referenced that at the previous full year, but just an update on your assumption to what the term-based license component is within that?
Martin Ive: Yes, Josh, we haven't made any changes to our assumptions in the fight path. So it's kind of captured within the ranges of revenue. Just kind of doing some stress testing on the models that we've used, getting up to a maximum of 50% of the subscriber base being on term-based licenses, about as far as we pushed it on one side; and for about 20% on the other side, on the low end. Now, we don't have any plans to move to a fleet term-based model. And so this is going to be something that's really pushed by whether it's askew of our pricing, or whether it's customers, as we've kind of seen in the first part just organically moving to term-based licensing. That I think we’ll see us get through somewhere around 30% in the subscriber base, with a higher proportion of new licenses starting to be bought with term-based licenses for new customers, and then a number of customers switching from term-based -- sorry, from perpetual to term-based over the course of that five years. So I think with the kind of that organic move, we would see a much smaller, short-term impact from that switch to -- from perpetual license revenue to term-based license revenue.
Josh Kannourakis: Yes. Now, that’s great color. Thanks, Martin. And I guess in terms of what that means for the recurring revenue component by the time you get to the FY'25, maybe if you could just reiterate that if it's still at that sort of 80% mark?
Martin Ive: Yes. So what we've been looking at is certainly between 75% to 80%, I think the big thing in terms of hitting the recurring revenue, and getting to the subscriber numbers is about reduction in the lapse rate. And this is where we feel customers tuning to term-based licensing, that's a big positive from a perspective of reducing lapse rate and then also customers that are adopting Altium 365. So that really changes the nature of our current maintenance subscription to more of a capability-based subscription, which is more a tend toward SaaS type model. So if a customer has adopted 365 and then they decide not to lose their -- to continue with their subscription, then they're going to lose a significant portion of the capability that they've been using. So this is where we see we'll get a real benefit in our lapse rate and the recurring revenue as customers adopt the 365 platform and the benefits that it has brought them.
Josh Kannourakis: Just a question on Octopart. Obviously, quite a strong result there and there's been a lot of discussion globally around some of the issues around electronic supply chains. I'm just interested in whether or not you think that's had a positive benefit on that part of the business and what you're seeing in terms of maybe the changes to that ecosystem in terms of both vendors and actual users of the platform?
Aram Mirkazemi: Josh, this is Aram. Our NEXAR business unit, that's referred to that as our engine of growth for -- around ecosystem. And Octopart essentially is going to be the heart of that and the seat for that business unit. Octopart’s selling motion and the way that it connects to all partners in the supply chain is what we're going to use in NEXAR to extend that to other partners. So we see Octopart as now playing a central role in our strategy with formation of NEXAR which is a much bigger version of Octopart in terms of its scope, it goes well beyond supply chain. It will include manufacturing, and also CAD and PLM partners. So that's a very exciting event happening at Altium and we will update the market as it will progress. 
Josh Kannourakis: And just final one on M&A, it's obviously now a bigger portion of that 2025 target post adjusting for TASKING. Can you talk us a little bit about where you are in that journey, some of the key focus areas, and just maybe how far progressed you are?
Aram Mirkazemi: With M&A now with 365 and NEXAR, it really expands the possibilities, not only in the kind of interesting new areas, but also in our adjacencies, but centered around electronics. So we have been very active, Joe has moved full time into that position because of its significance. And we have been quite active in terms of looking and pursuing and we came close to one significant acquisition, but we did not go to the level that was needed and we dropped out. But we are now -- that is a big opportunity for us and we'll be pursuing that. 
Operator: Our next question comes from Roger Samuel at Jeffries Australia. 
Roger Samuel: I've got a few questions. Just first one is on NEXUS. So you mentioned that there was no customer churn. But in the prior half, there were some major contracts. So I'm just trying to understand, if this -- this business, it’s our thought, it's a recurring nature. I'm just wondering what happened in the prior half which didn't happen in the first half of this result? 
Martin Ive: Yes. Sure. So with NEXUS, we do recognize a portion of revenue upfront. And the delivery of TASKING is -- it’s not a cloud-based product, it's a product that's hosted on a customer's server. And so therefore, the revenue recognition for the license portion, that's taken upfront. So with NEXUS deals generally being three years in length, what we find is that there's a block of revenue taken upfront, and then there's a trailing portion of revenue that's recognized over the period of the remaining contract. So we have a large -- a larger deal that can then skew the results.  Now the revenue is still considered to be recurring revenue, because at the end of that term, the customer needs to renew their subscription or renew their term-based license in order to continue usage of it. We will get -- until NEXUS is delivered through the cloud, we will still have some kind of lumpiness when we have large deals. 
Roger Samuel: And just to clarify on the pricing, so you have removed the discount in the last half. I'm just wondering, what's the outlook for pricing going forward? I mean, are you going to maintain your pricing or potentially scope for further price increases, especially Altium Designer product?
Martin Ive: Yes. So what we've talked about in terms of the public pricing. So what we've done in Q4 was kind of advertise the large discount that we provided as part of the strategy of pushing momentum through the COVID period. And so one of the impacts of that has, it basically restricts your pricing on all deals. And, historically, we've always provided discounts. But generally, it's not being something that's public, and it's something that's done towards the end of a deal or it was part of a negotiating -- negotiation to get a deal to close and to provide a customer with some kind of time pressure to move or to buy additional seats. So we still expect that we will continue to discount albeit it won’t be -- it will be much more targeted and it will be towards the end of the sales process. And this is particularly important as we've now moved to high-touch and high volume sales, so the high-touch is where we expect to get some of the larger customers. And we don't want to be having publicly available discounts that will reduce the size of those deals. So I expect that we will have to stand and continue albeit it won't be at the rate we saw in Q4. And it won't be something that's publicly available.
Operator: Our next question comes from Stuart Turner at Blue Ocean.
Stuart Turner: Just a clarification on guidance please. So I’m reading full year guidance at the lower end of the range from $190 million to $195 million ex-TASKING. So does that imply for the second half a range between $110 million and $115 million firstly?
Martin Ive: Yes. So when we say ex-TASKING, Stuart, that's from -- for the second half, from the period after the disposal. 
Stuart Turner: Yes. So from -- oh okay. So just to be correct, do -- we did an ex-TASKING number from that range to imply the second half expectations?
Joe Bedewi: Sorry Martin. So it’s Joe. If you think -- TASKING is included in the first half, and that's nearly $90 million, and then for the full year $190 million to $195 million, that means $100 million to $105 million.
Stuart Turner: Okay, $100 million to $105 million. It was just a clarification that's all, I wasn't a 100% sure. And also in relation to the remeasurement contribution, which will obviously show again in the full year results, the EBITDA margin expectation actually includes that. Is that correct? Or is that meant to be an underlying EBITDA margin?
Martin Ive: No, that number -- that’s a full EBITDA number. 
Stuart Turner : Okay. So it includes it. 
Operator: Our next question comes from Siraj Ahmed at Citi. 
Siraj Ahmed: I just had a few questions. First, just on the second half margins, I mean, does imply a pretty good pickup. Is that just operating leverage or is there something in OpEx that we should be thinking about? And secondly, just on pricing, you have launched 365 Pro, just any thoughts or any initially takes on that expected it's at a higher price point, is it supposed to, please?
Martin Ive: Yes, just in terms of the margin, that will largely come from operating leverage. We have kind of restricted the hiring that we've done outside of the R&D teams in the first half. So a large part of I guess the cost increase from what we've done, both in the latter half of last year, and in the first half of this year, will just be related to the R&D side. So the margin is largely down to that operating leverage impacts. In the terms of 365 Pro, so the pricing for a pro level subscription is just under $1,000 higher than a standard subscription. So in U.S. dollar terms, list price for a standard subscription is $1,995 and for a pro level subscription it’s $2,990. 
Siraj Ahmed: Martin, I guess, I mean, what are we seeing on take up of Pro since the launch? 
Martin Ive: Yes. So we've got just over 1,000 subscribers on Pro now. And this is this is a pro level subscription and differentiating that from Concord Pro. 
Siraj Ahmed: I just missed the number. If you just repeat that, that would be great?
Martin Ive: So it's just over 1,000 users for both subscribed seats, I should say, to would be clear. 
Operator: [Operator Instructions]. Our next question comes from Paul Mason at E&P.
Paul Mason: Just a couple for me. So the first one is just on Slide 7. So the -- I just want to understand the Y year structuring of the chart. With the dip in monthly active users and really a slight dip in monthly active accounts that goes through the first two weeks of January. Is that just because people aren't logging in or is that actually people stopping becoming users and then you've got a big acceleration out the other side of that?
Aram Mirkazemi: This is -- this chart depicts active users and active accounts. It's related to their activities rather than their signing up or bind our software. So we're very much interested in seeing their activities. You can see a slight dip around -- before August around that which is the European summer, or the Hemisphere summer and that caused the dip and then it pick up afterwards. And the dip that you see around January is just related to Christmas, New Year that people are just less active, they work less. 
Paul Mason: Just related question on this. The slide before you -- so the Altium 365 exploratory accounts, looks like that matches up to the end of that Slide 7. And then you've got full adoption at 1.5K. Or should we -- should I look at the 4.4 in the middle column as what's matching up to the end of that monthly active accounts and they're all sort of full adoption?
Aram Mirkazemi: So the way to look at it, if you look at that slide before, you got exploratory 4.6K in terms of accounts, and then you got 1.5K in the full adoption. The combination gives you 6.1. Out of them, we have about 4,460 that have been active in January, just after -- in February when this came out. And with the users, that's what you see is, it applies to the last column, which is not quite the same, but the account will have the two, exploratory and full adoption. And then you see the activities amongst them.
Paul Mason: And just the last one for me. Just on your five year roadmap. So can we look at the current one that you put out today and the ones for August and the difference is basically just TASKING has been removed? Or -- and so just to be more clear about the question then, so say if I took the 2025 and the difference, would that basically just be having removed TASKING out? Or there are other -- and therefore give us a rate on what you thought TASKING was going to be in 2025? Or are there other elements to what's been adjusted that were sort of reduced? What was implied about TASKING?
Martin Ive: No, it's TASKING, that's been taken out.
Operator: [Operator Instructions]. Our next question comes from Siraj Ahmed at Citi.
Siraj Ahmed: Thanks, Aram just a follow-up. I mean, one of the paths here FY’25 is converting some of these shared users into named users. I mean you have 125,000 registered Designer subscription users. Any thoughts on how you intend to monetize a few -- some of them?
Aram Mirkazemi: Siraj at the moment, we're focused on getting the volume and the high-touch to full speed and we're essentially executing against that strategy, which focuses on seats, on subscription. And as far as going for named subscription, that would fall in the area of direct monetization, which essentially, would be between Altium 365 and the individual user, and then that will come with a version of Altium 365. That we have been thinking about it and we’re planning to do some -- conduct some pilot projects around it, but there is no intention at the moment to commit to that fully.
Operator: We have no further questions in queue. So I'll hand back to Aram for closing comments. Thank you. 
Aram Mirkazemi: Alright. Thank you. In conclusion, I'm excited and heartened by the progress we have made to pivot to the cloud, bifurcate our sales and to introduce digital sales and to begin to make inroads to build our Altium 365 ecosystem through NEXAR. Having used tough COVID conditions to set ourselves to aggressively go after dominance and transformation, we must now focus intently on new flywheels, which are all built around driving adoption of our CAD tools and cloud platform.  Finally, to restate, we remain firmly committed to our long-term aspirational targets of 100,000 subscribers, and $500 million by 2025. Both targets are critical to our dominance and transformation agenda. We continue to view this for 2021 as a pre-vaccine year and confirm full year guidance at the low end of the range, it's revenue between $190 million to $195 million ex-TASKING and EBITDA margin in the range of 37% to 39%. Thank you. 
Operator: Thank you so much. Ladies and gentlemen, that does conclude the call today. Thank you so much for your attendance. You may all disconnect.